Operator: Good morning and welcome to the Chatham Lodging Trust Third Quarter 2022 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Chris Daly, President of DG Public Relations. Please go ahead.
Chris Daly: Thank you, Andrew. Good morning, everyone, and welcome to the Chatham Lodging Trust third quarter 2022 results conference call. Please note that many of our comments today are considered forward-looking statements as defined by federal securities laws. These statements are subject to risks and uncertainties, both known and unknown, as described in our most recent Form 10-K and other SEC filings. All information in this call is as of November 08, 2022, unless otherwise noted. And the company undertakes no obligation to update any forward-looking statements to conform the statement to actual results or changes in the company's expectations. You can find copies of our SEC filings and earnings release which contain reconciliations to non-GAAP financial measures referenced on this call on our website at chathamlodgingtrust.com. Now, to provide you with some insight into Chatham 's 2022 third quarter results, allow me to introduce Jeff Fisher, Chairman, President and Chief Executive Officer; Dennis Craven, Executive Vice President and Chief Operating Officer; and Jeremy Wegner, Senior Vice President and Chief Financial Officer. Let me turn the session over to Jeff Fisher. Jeff?
Jeffrey Fisher: Appreciate that. Thanks, Chris. And I certainly appreciate everyone joining us this morning for our call. Again, I'm real proud of our results for the quarter continuing the strong operating trends and certainly continuing the strong flow through to the bottom line of incremental RevPAR and ADR. RevPAR remain strong in the third quarter, up 34% over the same quarter last year. And importantly, up approximately 1% over the 2019 third quarter strengthened by strong ADR growth of 6% and offset by lower relative occupancy though quarterly occupancy of 80% is still an impressive achievement. Sequentially third quarter RevPAR of $150 was up a meaningful 9% over the second quarter. And finally the quarter finished strong with September RevPAR up 6% over 2019, the highest monthly growth over 2019. This year, October RevPAR looks strong also, with wood -- excuse me with RevPAR only down around 1% compared to 2019. And of course you stock your seasonal downturn as you as you head into the fall as normally occurs. Next, our operating margins were strong again, as I said this quarter with same-store hotel margins of 50.5%. Up 160 basis points over 2019 and produced with only a 1% increase in RevPAR over the 2019 third quarter. Historically, we produce the highest operating margins of all lodging REITs and our third quarter margins put us right at the top of all our peer companies. Again, I'm certainly pleased and proud that that kind of result, particularly as I indicated with RevPAR up only 1%. Our third quarter adjusted EBIT and SFO were up substantially. And as a result, we saw a healthy increase in free cash flow, which was almost $25 million in the quarter, up almost 25% over our 2022 second quarter and up 150% over our third quarter. Lastly, I'm very pleased with our financial condition, which is extremely healthy as we sit here at our lowest leverage levels in over a decade. Since the start of the pandemic, we have reduced our net debt by approximately 40%. By far the highest reduction of any lodging rate. We exited our credit facility covenant waiver period during the quarter and just recently, we successfully refinanced our senior unsecured credit facility and issued a new $90 million term loan with both facilities now maturing in 2027. With no outstanding borrowings on either for sale we have the flexibility to acquire hotels and/or address or refinance maturing debt over the next couple of years. And we have 24 unencumbered assets that could serve as additional sources of liquidity. Touching quickly on external growth. As I stated, we have the capacity and desire to acquire hotels. But as I'm sure you've heard, the transaction market is essentially [indiscernible] between the significant recent rise in interest rates combined with strong operating results. For the industry, there really is a pretty wide bid ask spread between buyers and sellers. We are looking at deals, we don't expect to announce anything soon. However, we are certainly looking forward to 2023, because I really do believe that that bid ask spread will narrow, I believe that there will be some debt maturities that owners will have a difficulty dealing with and refinancing in this market. And I also think some of the pressures from the brands should be significant relative to CapEx and deferred CapEx that certainly has occurred over the last few years and during the pandemic. As we previously stated, we do have the ability also to develop another hotel on our parking lot in Portland, Maine, next to our Hampton Inn and Suites there. Certainly as you'll hear from Dennis continues to be an unbelievably strong market and we are working on a development plan that would work in a difficult environment and city to develop it. Turning back to our operations, our portfolios still recovering due to our reliance on the higher rated business traveller in certain of our markets. While with the 2019, September was our best month of the year, and that is primarily due to the surge in business travel that has driven up performance during the week and we saw that continuing through October. Since the week of Labor Day, Tuesday, Wednesday, occupancy jumped to 87%, surpassing Friday, Saturday occupancy of 82%. Over that same period, marking the first time since before the pandemic, where upon weekday occupancy has consistently outperformed the weekend. Although November to February begins our seasonally slower period. This trend or gaining weekday occupancies is a good indicator of what business travel might trend towards next year. And we continue to push ADRs as much as possible. As a matter of fact, as we look ahead, particularly next year, we do see in our operators are seeing and budgeting for continued strong ADR growth. And we know that as I stated earlier, the operator has always produced great flow through to the bottom line. We're seeing increased demand in many of our primary business travel markets such as Silicon Valley, Seattle, Dallas, and Austin, and strong group demand also in Dallas, San Diego and San Antonio from their convention centers. Our macro view is that business travel including groups will continue to gain traction next year. And I believe leisure travel will remain strong. But some of the white hot leisure markets of the past couple of years will give some RevPAR back like we saw with our Destin Hotel, which saw RevPAR decline, a small 3.7% compared to the 2021 third quarter, but still a slight decline. As this transition occurs over the balance of 2022 and 2023. We will derive the most benefit in changing demand trends as compared to many of our peers who really have become more dependent and reliant on leisure and resort business. Although still down 11% to 2019 levels. Silicon Valley Road far has had a good quarter as we've benefited from two months of intern demand in the quarter. October RevPAR trended backwards a little bit versus 2019 with RevPAR off about 30% better than what we experienced before the summer, but still down from September. They are traveling to both SFO and San Jose remain well below 2019 levels. At SFO domestic deployments were down about 25% in the quarter slightly below the 23% miss in the second quarter. While international deployments improved from down almost 40%, to now down about 25% and similar in San Jose, deployments were up 23% in the third quarter versus now 25% in the second quarter. So a slight improvement but still a lot of room for more improvement going forward. If you look at our Residence Inn in Bellevue, Washington, this October was off 15% to 2019. As business travel was a bit stronger than the Valley, if you look at deployments there, domestic deployments improved from off 11% in the second quarter to off about 9% in the third quarter, international deployments were off 16% to 2019 in the quarter, which has improved from that 24% in the second quarter. Given its reliance on a return to office, international travelers in the longer term consulting and training business, as we've said, Silicon Valley and Seattle will be a little slower to recover than the rest of the markets. But we could say that our top clients are continuing to travel, were in discussions with us on 2023 travel expectations, including the return of the 2023 intern programs, which at this point, initial indicators seem to be bigger, and certainly at higher rates than this year. So we're encouraged by the trajectory of these markets and emergence of the digital nomads that we've talked about, traveling back to the Valley, we think will generate incremental new demand over the long-term. Our other tech related market, Austin is bucking all of these trends [indiscernible] power of 9% versus 2019 our Residence Inn. Our TownePlace Suites was not opened in 2019. It's new versus last year and this is relevant since Austin was an open market relative to COVID, RevPAR of both hotels was up almost 25% to $150. This market is benefited by strong BT demand. And of course, augmented by healthy leisure component. We believe as I said, the future is bright, people still like to travel, people like to do business in person. And we've got some new travelers to the space that digital nomad, that employee who works away from the office will now be asked to come back more frequently, these new travelers will be staying for more than one or two nights. So we've got the flexibility, of course to do that, since we are over 60% extended stay hotels. And we think those hotels certainly will be the primary beneficiary of this new added demand. Adding to great top line performance, of course is our ability to generate very strong operating margins and thus, high flow through of that top line growth to the bottom line, which means our free cash flow will grow. Our balance sheet, as I said is in great shape. I think we're poised to outperform, continue to outperform, and stock recurrent returning cash to our common shareholders in the near future through the reinstatement of a quarterly dividend. We'll be talking more about that in the ensuing month or so. With that, I'd like to turn it over to Dennis for a little more color.
Dennis Craven: Thanks, Jeff. Compared to 2019, amount of RevPAR was essentially flat in July and August, before accelerating in September. As we talked about in our last earnings call, this quarter marked the return of in-person internships and significant room demand from high tech companies such as Meta, Apple, eBay, and T-Mobile. [Indiscernible] those programs bought off in early September. But haven't wrapped up our intern programs. Our revenue was approximately $13 million in 2022. And that's almost double from our 2019 levels. Taking more business was definitely the right decision. It's proven out by pretty big RevPAR index gains at our two Sunnyvale hotels. An added benefit is that our operating margin on this business is very high as limited room servicing is part of the arrangement. Our operating margins at those five tech driven hotels in September was over 60%. As Jeff mentioned in his prepared comments, our five tech driven hotels, the four in Silicon Valley, the one in Seattle are still well off in 2019 results. We do expect that they will ultimately recover and surpass those levels. They're just going to be a bit slower. As a reminder in 2019, these five hotels did about $35 million in hotel EBITDA and are expected to do around $23 million to $24 million in 2022. So still about 30% off of 2019 with some good internal growth to come. If you look at our portfolio for the quarter excluding Silicon Valley, or excluding Silicon Valley and in our Residence Inn in Bellevue, our third quarter RevPAR was up 4% versus 2019 with ADR growth of 11% offset by a decline in occupancy of about 7%. So, again, taking out those five pretty significant hotels, the portfolio performed really well relative to 2019. Large Group and Convention business continues to surge. And we've posted gains in all of our convention related markets with Dallas and San Diego posting RevPAR gains of 43% and 20% respectively versus 2019. And San Antonio posting the RevPAR gain of approximately 4% versus 2019. So far, the schedules are setting up for pretty good 2023. And at least there continues to be talks in Dallas about the expansion of Kay Bailey Convention Center in the future without closing any of the Convention Centers, it's merely going to be expansion of that space. So that's going to do nothing but attract larger conventions and given our close proximity to Convention Center should set us up pretty well. During the third quarter, 19 of our comparable hotels generated RevPAR greater than 2019 compared to 17 of our hotels last quarter. So again, a gradual improvement. We can travel with for us average just over 85% occupancy in the quarter, continue to outperform our weekday travel, but the gap has continued to compress, due in most part again to the Business Traveler coming back, weekday occupancy which is the best indicator of the Business Traveler rose to 79% in the quarter compared to 76% in the second quarter. October weekday occupancy were still healthy at 77%. As Jeff talked about, pretty interesting for us, but since that we can [indiscernible] our Tuesday, Wednesday occupancy of 87%, beat our Friday, Saturday occupancy of 82%. Coinciding with the rising demand, we continue to push our rates in our ADRs throughout the week. Third quarter weekday ADR was $184 versus $175 in the second quarter, and weekend ADR was $193 versus $186 last quarter. October ADR was slightly higher than our September ADR, our highest hotels with absolute RevPAR in the quarter were at the top are Hampton Inn Portland at $285 and then our Hilton Garden Inn Portsmouth at $221 followed by Foggy Bottom Residence Inn at $206. And then our Residence Inn Gaslamp and Hilton Garden Inn Marina Del Rey with RevPAR of approximately $200. Our portfolio is significantly better than the industry with third quarter RevPAR growth more than double the industry performance with our performance in both occupancy and ADR, occupancy reached 80% compared to industry wide occupancy of 67%. Additionally, our growth relative to 2021 versus the industry clearly shows that our portfolio is growing more rapidly than the industry as a whole with our occupancy ADR and RevPAR growth of 10%, 22% and 34% respectively compared to industry growth of 5%, 11% and 16%. Our top five absolute occupancy hotels in the quarter are Hampton Inn Portland with occupancy of 98% followed by Residence Inn in New Rochelle, our Hampton Inn Exeter, our Residence Inn in White Plains, New York, and then our Homewood Suites Inn Bloomington making its first appearance. With all five hotels that occupancy exceeding 90% and our top five hotels with the highest ADR were led again by the Hampton Inn Portland with an ADR of $350, $50 higher than our second ranked hotel to Portsmouth HGI. And then the remainder of our top five were our Hilton Garden Inn in Marina Del Rey, our San Diego Gaslamp Residence Inn and then our Residence Inn in Mountain View, all three with ADRs over $235. We continue to see an average length of stay longer than our historical levels, which is consistent with just comments regarding today's travel. We're staying longer in our hotels. Our average length of stay at both the Residence Inn and Homewood Suites brand still remains about 20% higher than pre-pandemic levels. For the quarter total hotel revenue of $88 million was up 37% compared to last year's revenue of $64 million. And we were able to generate incremental GOP of almost $19 million from flow through a very strong 65% on that increased top line. Certainly, revenue growth doesn't mean nearly as much if you can't push it through, we've seen several of our peers who saw margins decline relative to 2019. Our margin growth is based on our entire comparable portfolio. And our same-store third quarter operating margins surpass 50%. And we're up 160 basis points over the 2019 third quarter. It's a pretty impressive to be able to achieve that kind of margin growth on a 1% increase in RevPAR, but we've certainly been able to produce meaningful growth and pretty hard high margins given kind of where we are in our RevPAR recovery. A good bit of this increase is attributed to more efficient operating structure, especially with respect to labor, our employee, headcount remains down about 20% compared to pre-pandemic levels, certainly, like many we're a little bit understaffed out there, and we're making up for it in terms of with the casual labor and efficiencies. But we certainly believe at least on a permanent on a long-term basis, there will be a permanent headcount reduction. But obviously, everybody knows the pressures we've seen with labor rates over the last few years. On a per occupied room basis at our comparable hotels. Our costs were approximately $33, a decline of about $2, or about 5%, relative to 2019. During the quarter all hotels generated positive console EBITDA and GOP, our top product producers of GOP in the quarter are Gaslamp Residence Inn which was also an highest producing GOP hotel in the first and second quarter, followed by our Silicon Valley Q residents in, and then our residents in Bellevue, Washington. And lastly, and fifth was our Hampton Inn in Portland, in terms of gross GOP production. The fact that three of our top five hotels are tech driven hotel serves as a reminder of the upside. That is underpinning those hotels as the markets recover. All five of our top -- of our tech driven hotels were in the top nine produces producers of GOP in the quarter. And if you actually look at the 36, comparable hotels compared to 2019 our third quarter hotel EBITDA was about 105% of the third quarter of 2019 a great result. Looking at our recent acquisitions and our development, all four hotels we're in the top 20 producers of GOP and as a group generated RevPAR of 153 in the quarter above our portfolio average of 150 and margins at the four hotels were encouraging with Austin, generating a mark with our two Austin hotels generating operating margins of 54% and our home2 to in Woodland Hills up 4% followed by our HGI estimate 39%. On the CapEx front, the company incurred capital expenditures of $3 million in the quarter. And during the fourth quarter, we are going to commence renovations at three hotels, our revenues and in Washington, D.C., White Plains New York and Holtsville in the New York, with total spend for those three renovations, going to be approximately $11 million. We've already incurred about half of that in advance of commencement of the renovations. With that, I'll turn it over to Jeremy.
Jeremy Wegner: Thanks. Good morning, everyone. Chatham's Q3 2022 RevPAR of $150 represents a 34% increase versus our Q3 2021 RevPAR of $112 and was up 1% From our q3 2019 Rev par of $149. This excellent top line performance was driven by exceptionally strong leisure demand unprecedented levels of summer intern business at our Silicon Valley and Bellevue hotels in the continuing recovery of business translate demand, which really picked up after Labor Day. While we expect business transient demand to continue to improve in Q4. Overall RevPAR levels in Q4 relative to Q4 2019 are unlikely to match our Q3 growth of 1% versus 2019. Given the checkout of the tech related intern business and the seasonality of the leisure travel in our portfolio. In addition to the exceptional top-line results, Chatham was also able to generate outstanding margins in Q3. Chatham's Q3 hotel EBITDA margins up 43.6% are among the highest in the sector and were 240 basis points higher than our margins in Q3 2019. We were able to achieve this significant increase in margins despite RevPAR only being $1 higher than in Q3 2019. While we're starting to see cost increase, we believe continued growth in RevPAR should help offset the potential impact on margins. Our Q3 2022 hotel EBITDA was $38.2 million. Adjusted EBITDA was $35.1 million. Adjusted FFO was $0.50 per share and cash flow before capital, which represents hotel EBITDA less corporate G&A cash interest and 2.2 million of principal amortization was positive $24.6 million. Over the last two years, Chatham has taken a number of steps to strengthen its balance sheet. And as a result, we now have the lowest leverage and most liquidity that we've ever had. In late October, we replaced our $250 million revolving credit facility that was scheduled to mature in 2023 with a $305 million credit facility that consists of a $215 million revolving line of credit and a $90 million delayed drop term loan, including all extension options, the new revolver and term loan have final maturities in October of 2027. The revolving term loan are both currently completely undrawn, and we intend to drive a $90 million term loan in the first half of 2023 and use the proceeds to repay the majority of the $112 million of debt we have maturing in 2023. With our reasonable leverage solid liquidity, strong operating performance, sizable portfolio of unencumbered hotels and meaningful free cash flow, we are well positioned to refinance our remaining debt maturities when needed. This concludes my portion of the call. Operator, please open the line for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions]. The first question comes from Ari Klein with BMO. Please go ahead.
Ari Klein: Thanks. And good morning. Can you talk a little bit about the trends you're seeing in Silicon Valley post the intern business and what you're seeing from a demand standpoint from the larger tech companies out there, given some of their challenges, and what some of them said to be clamping down on non-essential travel?
Dennis Craven: Yes, Ari, this is Dennis. I'll start and anybody else can chime in. But I think as we talked about October RevPAR was off about 30% compared to 2019. So certainly down from the third quarter levels. We do know that our tech driven clients out there that we do most of our business with, are still doing business and are still generating room demand in our hotels, and in the market. It's just not of a level compared to what it was from Memorial Day to Labor Day. So it's still out there, it's not as is intense. ADRs are still doing pretty well, relative to 2019 and '21. Obviously, still down, but there isn't like a major drop off compared to what we were getting. So I'd say it's there. It's just not as intense, I think kind of we're in as normal. We're about to hit the slow season in both Silicon Valley and Bellevue from kind of really the second week of November, through kind of the middle of February. So not expecting a ton between now and then in terms of relative to what we saw pre pandemic.
Ari Klein: Got it. Thanks. And then maybe on the margin front, there was some good progress there. Are there any significant incremental costs that you still expect to back and provide some color out what you're seeing from a labor cost standpoint?
Dennis Craven: Yes, because there's not a ton. We've kind of been operating at this minus 20%. Headcount reduction for the better part of the last six months. As I said in my prepared comments, I still think we're a little understaffed out there, you do have Marriott came out with kind of updating their cleaning standards from an option standpoint. So we'll need to bring a little bit back for that, but we're entering the slower months of the season as well. So, we're not in a rush to bring back headcount in that respect. So, I think for the most part, you know, we're in a pretty good position for the next, you know, four or five months until things start to ramp back up. But I think we're going to be good at it, at least from an employee perspective, for a good bit.
Ari Klein: Got it. Just following up, how are you thinking about employee costs kind of year-over-year into 2023 on a like-for-like basis?
Jeffrey Fisher: Yes, I mean our year-to-date run rate is about plus 7% or 8%. In terms of wage per hour across our portfolio, which is down from kind of 10% the last couple of years, obviously, 2020 is kind of thrown out, but we are experiencing mid-single-digit increases leading into the pandemic. So it's a little bit down from our average -- from our year-to-date increase last year. I think as we move into 2023, we're still -- we would still expect wages to be up kind of in that kind of middle single-digit area going into 2023.
Ari Klein: Great, thanks for all the color.
Operator: The next question comes from Anthony Powell with Barclays. Please go ahead.
Anthony Powell: Hi, good morning. Just a question on the intern business, I know that you're having good positive discussions with clients, because right now, but if that were to be shrunk or even eliminated next year, given some of the tech challenges we were reading about, what's the option to backfill that with other business next year?
Jeffrey Fisher: Well, I mean, we saw -- first of all, we don't think it's going to be canceled or anything like that. I mean, we've been doing that business for a long time, the only thing that ever stopped it was in 2020, and '21 with the pandemic. So despite prior recessions and tech downturns, they still did the intern business. And they still did, group related business, throughout the year in our hotels in terms of demand. So, listen, I think if we were faced with that challenge, we obviously would have to revert to what we did in the 2020 and 2021, which is get as much business as we can, from kind of what we've called non-business travel related segments, we don't think there's a huge risk in that and the discussions we've had with the tech companies where we do intern programs with, in both Austin, each of Austin, Silicon Valley and Bellevue are pretty confident in what's going to happen next year. And we've already, started the discussions with them a little bit earlier than we used to, in regards to rates for that business next year, which right now are pretty encouraging.
Anthony Powell: Got it, okay. And maybe one more on Portland potential development. Could you maybe update us on what a project like that would take to complete in terms of timeframe, targeted returns? I think you talked about it's hard to build in a city. Maybe that gives more details there. And what you think that -- what you think the overall opportunities for that project?
Jeffrey Fisher: Well, I think -- we think the overall opportunity is great. it's the Hampton Inn Portland has been one of our top performing assets since we bought it a decade ago. The process there is quite time consuming. We do have and are having active discussions around that project. But I think in terms of building it, and getting first of all getting approval to build it and then building it, it's probably still a good couple of years off from being open in that market.
Anthony Powell: So 2025 is just kind of the good target?
Jeffrey Fisher: Probably. So yes, the circle year.
Anthony Powell: Okay, thank you.
Jeffrey Fisher: Yes.
Operator: The next question comes from Tyler Batory with Oppenheimer. Please go ahead.
Tyler Batory: Hi, thank you. Good morning. First question for me, I really want to dive into trends in the business and what you're seeing, October, I think down versus 2019 September up 6% for 2019, so just trying to understand the delta there in terms of the performance versus 2019. And then if you could -- you remind us seasonality for your portfolio. How you're thinking November and December should shape up compared with 2019?
Jeffrey Fisher: Sure, yes, I mean November, weekend at the moment. So it's a little too early to tell what we're looking like in terms of RevPAR for the full month, but it's a little bit down from certainly from an absolute RevPAR perspective down from October, usually our RevPAR kind of once you get past October, it goes down in November, down further in December, and then starts building back up January, February into March. So, Jeremy might have some more detail on just how much that is. And I think he does give you…
Jeremy Wegner: Yes, just a point of reference, like in 2019, our October RevPAR was $146.50. In November RevPAR was $121.81, in December it was $97. We see a pretty material drop off after October.
Tyler Batory: Okay, okay, great. That's helpful. And then in terms of the acquisition commentary, you would imagine, perhaps frustrating, there aren't more opportunities out there, right now to transact. What needs to happen in your mind for that bid, ask spread to narrow and kind of what do you think is the catalyst and the timeline for that as well?
Jeremy Wegner: Yes, I think as I indicated, it's got to come from pressure and real pressure on owners with deals that really, really are having to go back to their partners with capital calls, that's generally in the past always been sort of the catalyst for deals to happen, some partners will put up the extra capital. But there's always those deals and those partnerships that don't. And instead, they say, let's see if we can sell this hotel, or let's sell this hotel. And that's when opportunities occurred. It's I don't know, the timing exactly. It's hard to predict. But we've positioned our balance sheet purposely to be in good set and to certainly have the capacity to do it. Now look, we've got to get some really clear, really strong returns, and pricing really nice job, given the environment today and given our multiple and given where stock trade. So there's a variety of different things that need to occur and line up for us to really pull the trigger, because we're not going to do dilutive deals. And I think we've been around long enough to understand the math relative to what it takes to really make an acquisition work.
Tyler Batory: Okay. And last question for me on capital allocation, your balance sheet is in great shape, performance is really strong. You're not a whole lot to do on the acquisition front, it sounds like, where does the dividend fit in here, kind of what are your expectations? What are you looking at in terms of potentially reinstating significant payments?
Jeffrey Fisher: Yes, I mean we are going to reinstate clearly. We keep talking about our cash flow and talking about our flow through. We're finishing for the board some calculations relative to the NOLs and sort of how that affects overall distribution requirements. And I think either Dennis or Jeremy can kind of chime in on this, but we're going to be in a position here in a relatively short period of time to initiate a dividend. The level of the dividend probably given our conservative nature should ramp up as visibility ramps up into next year on earnings, right.
Tyler Batory: Okay. Okay, great. That's all for me. Appreciate the detail. Thank you.
Jeffrey Fisher: All right. All right, any other questions out there?
Operator: Just to check that there had been another question. [Operator Instructions] Seeing none, I would like to turn the conference back over to Chatham management for any closing remarks.
Jeffrey Fisher: Again, I just want to thank everybody for being on the call and follow the company as we move forward in the year towards continuing the kind of results we've been able to post. We look forward to a continued better year in '23. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.